Operator: Good day, and welcome to the American Woodmark Corporation Second Fiscal Quarter 2023 Conference Call. Today's call is being recorded, November 22, 2022. During this call, the company may discuss certain non-GAAP financial measures, including in our earnings release such as adjusted net income, adjusted EBITDA, adjusted EBITDA margin, free cash flow, net leverage and adjusted EPS per diluted share. The earnings release, which can be found on our website, americanwoodmark.com, includes definitions of each of these non-GAAP financial measures, the company's rationale for their usage and a reconciliation of these non-GAAP financial measures to the most comparable GAAP financial measures. We also use our website to publish other information that may be important to investors, such as investor presentations. We will begin the call by reading the company's safe harbor statement under the Private Securities Litigation Reform Act of 1995. All forward-looking statements made by the company involve material risks and uncertainties and are subject to change based on factors that may be beyond the company's control. Accordingly, the company's future performance and financial results may differ materially from those expressed or implied in any such forward-looking statements. Such factors include, but are not limited to, those described in the company's filings with the Securities and Exchange Commission and the annual report to shareholders. The company does not undertake to publicly update or revise these forward-looking statements even if experience or future changes make it clear that any projected results expressed or implied therein will not be realized. I would now like to turn the call over to Paul Joachimczyk, Senior Vice President and CFO. Please go ahead, sir.
Paul Joachimczyk: Good morning, ladies and gentlemen, and welcome to American Woodmark's second fiscal quarter conference call. Thank you for taking the time today to participate. Joining me is Scott Culbreth, President and CEO. Scott will begin with a review of the quarter, and I'll add additional details regarding our financial performance. After our comments, we'll be happy to answer your questions. Scott?
Scott Culbreth: Thank you, Paul, and thanks to everyone for joining us today for our second fiscal quarter earnings call. Our team delivered net sales of $561.5 million or growth of 23.9%. Our made-to-order frame backlog, represented by days of production, decreased in the quarter as production levels exceeded our incoming order rate and we still expect our backlog to normalize by the end of the calendar year. Our stock platform is stabilizing as overall demand returns to normal levels and our current staffing is able to fully support. Within new construction, our business grew 33.3% versus prior year. Order growth remains strong across our markets as builders work to complete homes in their backlog. We are monitoring recent trends with interest rates, home prices and declining single-family housing starts. We firmly believe the long-term fundamentals of the market are strong as the deficit of homes built fall short of household formations, but a slowdown will occur in calendar year '23. Our teams will continue to pursue opportunities to grow our share with new and existing customers. Looking at our remodel business, which includes our home center and independent deal and distributor businesses, revenue grew 17.5% versus the prior year. Within this, our home center business was up 10.3% versus the prior year. With regards to our dealer/distributor business, we were up 46.2% versus the prior year. Our adjusted EBITDA increased 120% to $67.6 million, or 12% for the quarter. Reported EPS was $1.73, and adjusted EPS was $2.24. The improvement in performance is due to pricing better matching inflationary impacts, mix and improved efficiencies in the manufacturing platforms. Our cash balance was $44.8 million at the end of the second fiscal quarter and the company has access to an additional $239.4 million under its revolving credit facility. Leverage was reduced to 2.23 times adjusted EBITDA. We committed to restore profitability and are delivering on that commitment. We are facing additional headwinds as consumer behavior shifts due to housing affordability and overall macroeconomic uncertainty. Rising interest rates are impacting single-family new construction starts and R&R demand is slowing. We are prepared to navigate short-term demand reductions and our product portfolio is positioned to win and attract customers in a more difficult economic environment. Our full year outlook now reflects a low double-digit growth rate in net sales with negative sales comps expected in fiscal Q4. Despite this revenue headwind, we are maintaining the expectation of low double-digit adjusted EBITDA margins for the fiscal year. Our team also continues to execute against our strategy that has three main pillars: growth, digital transformation and platform design. Growth from our most recent summer launch of four new finishes and several new door styles continues to perform well and exceed -- is exceeding internal targets. Digital transformation efforts over the last fiscal quarter include the planning efforts for the next implementation area of ERP and our manufacturing operations, and we entered the design build phase of our CRM project. Platform design work continues and after a comprehensive review of our platform, we identified the need for additional capacity in our stock kitchen and bath cabinetry product lines. We announced last month a $65 million expansion in Monterey, Mexico and Humboldt, North Carolina. By adding a fourth facility in Mexico and expanding our Humboldt location, we will strengthen our overall supply chain and allow for incremental capacity in both categories in the East Coast, which is one of the largest repair/remodel and new construction markets. In closing, I'm proud of what this team accomplished in the second fiscal quarter and look forward to their contributions during the second half of fiscal year '23. I will now turn the call back over to Paul for additional details on the financial results for the quarter.
Paul Joachimczyk: Thank you, Scott. Financial headlines for the quarter and year-to-date. Net sales for the second quarter of fiscal year 2023 were $561.5 million, representing an increase of 23.9% over the same period last year. And year-to-date, our net sales were $1.1 billion, representing an increase of $208.6 million, or 23.3%. Adjusted net income was $37.3 million or $2.24 per diluted share in the second quarter of fiscal year 2023 versus $10.4 million or $0.62 per diluted share last year. Adjusted net income for the second quarter of fiscal year 2023 increased $26.9 million due to higher sales, largely driven by price increases and partially offset by higher material and logistics costs. Year-to-date, our adjusted net income was $65.6 million compared to $22 million in the prior year, representing a $43.6 million increase or close to 200% improvement. Adjusted EBITDA for the second quarter of fiscal year 2023 was $67.6 million or 12% of net sales compared to $30.8 million or 6.8% of net sales for the same quarter of the prior fiscal year, representing a 520 basis point improvement year-over-year. Adjusted EBITDA year-to-date is $124.1 million compared to $62.9 million prior year-to-date, representing close to a 100% increase. Looking at our sales channels for the quarter. The combined home center and independent dealer/distributor channel net sales increased 17.5% for the second fiscal quarter, with home centers increasing 10.3% and dealer distributor increasing 46.2%. New construction net sales increased 33.3% for the second fiscal quarter compared to the prior year with growth in both Timberlake units and dollars. New construction sales channel outpaced market demand during the second quarter of fiscal year 2023. Recognizing a 60 to 90 day lag between start and cabinet installation, the overall market starts in single-family homes were down 15.8% for the fiscal second quarter. Looking at completions during our second fiscal quarter, we saw a 7% increase year-over-year. Given the decline in starts and the large separation between starts and completions, we are reducing our backlog, which is expected to return to normal levels this calendar year. The company's gross profit margin for the second quarter fiscal year 2023 was 17.6% of net sales versus 11.4% reported in the same quarter of last year. Representing a 620 basis point improvement. Year-to-date, our gross margin is 16.8% compared to 11.7% of net sales in the prior year. Gross margin in the second quarter of the current fiscal year and year-to-date was positively impacted by the pricing actions and operational improvements, offset by inflation and our input costs, which are starting to stabilize. Total operating expenses were 10.1% of net sales in the second quarter of fiscal year 2023 compared to 10.2% of net sales for the same period in fiscal year 2022. Selling and marketing expenses were 4.4% of net sales in the second quarter of fiscal year 2023 compared with 4.7% of net sales for the same period in fiscal year 2022. The ratio to net sales decreased 30 basis points resulting from controlled spending and leverage created from higher sales in the second quarter of fiscal year 2023. General and administrative expenses were 5.7% of net sales in the second quarter of fiscal year 2023 compared with 5.4% of net sales for the same period of fiscal year 2022. The increase in the ratio was primarily driven by increases in incentives and profit sharing, partially offset by the leverage created from higher sales. Free cash flow totaled a positive $44.4 million for the current fiscal year compared to a negative $37.3 million in the prior year. The $81.7 million increase in free cash flow was primarily due to the changes in our operating cash flows, specifically higher net income, higher accrued expenses and lower capital spending, which was partially offset by higher inventory positions. Net leverage was 2.23 times adjusted EBITDA at the end of the second fiscal quarter representing a 0.57 times improvement from the 2.80 adjusted EBITDA times at the end of the fiscal first quarter. The company's cash position and availability under our revolver as of October 31, 2022 was $284.2 million and we paid down $21.2 million of debt in the first-six months of fiscal year 2023. Shifting our focus to the remainder of fiscal year 2023, we expect low double-digit growth rate in our net sales versus fiscal year 2022. The growth rate is highly dependent upon overall industry, economic growth trends, material constraints, labor impact, interest rates and consumer behaviors. Our price increases are in effect for all of our sales channels. Our EBITDA margin expectation for fiscal year 2023 remains a low double-digit EBITDA percentage. We are holding our capital outlook for fiscal year 2023 and we'll continue our investment back into the business by increasing our capital investment rate to a range of 3.0% to 3.5% of net sales. As a reminder, these investments will range from the continuation of our ERP journey to get on the cloud, digital investments in our customer experience and reinvesting in our manufacturing facilities. Specifically, the expansion of our Humboldt, North Carolina facility, a new manufacturing plant in Monterrey, Mexico, along with automation efforts to help reduce labor dependencies, improve quality and increase capacity. We are choosing to make these additional investments into our core business, which help position the company for improved sales opportunities in our stock platform and enhance our margins in the future. It is great to see the commitment, hard work and efforts our employees invested in the past two years to show the returns in the financial results. Our employees' resilience and their ongoing contributions to the company's culture have set the stage for a strong start to our fiscal year. I'm grateful for what the teams have accomplished and I want to thank all of our team members at American Woodmark for their continued efforts. They are the ones that make it happen daily. This concludes our prepared remarks, and we'll be happy to answer any questions you have at this time.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question will be from Adam Baumgarten from Zelman &Associates. Please go ahead.
Adam Baumgarten: Hey. Good morning, everyone. Nice results. I guess maybe to kick-off just on the home center business. Can you maybe talk to what you're seeing or what you expect going forward from a promotions perspective?
Scott Culbreth: With regards to promos, we've not seen a significant change in cadence, Adam. It's been plateaued for probably the last three quarters, which was down versus the prior year. So no significant change there. I will pivot though and tell you that in the dealer space, we are starting to see a bit of an increase from a competitive standpoint with regards to promos, but we've not taken any specific actions yet there.
Adam Baumgarten: Okay. Got it. Thanks. And then just a couple of others. One, just maybe on what you're seeing on raw material costs, if they're deflating at all, at least on a sequential basis. And then just to confirm, you're still expecting CapEx to be 3% to 3.5% of revenue for fiscal '23?
Scott Culbreth: Yeah. I'll take the inflation comment and then have Paul speak about CapEx. So on inflation, what we have seen is a bit of relief on some of the species of hardwood lumber. So the index has started to move down, but at the same time, we continue to see increases in the index specific to commodities such as plywood particleboard and other inputs. Paul, on capital?
Paul Joachimczyk: On capital Adam, really, we are maintaining that outlook for the 3% to 3.5%. And we're running up a little bit late in the first half of the year. But remember, we are doing those plant expansions for in Humboldt, North Carolina and Monterrey, Mexico, which will have somewhat of a capital-intensive position into the back half of the year.
Adam Baumgarten: Okay. Got it. Thanks a lot.
Operator: And our next question is from Tim Wojs with Baird. Please go ahead.
Tim Wojs: Hey, guys. Good morning. Nice job.
Scott Culbreth: Hey, Tim. Good morning. Thanks.
Tim Wojs: Hey. Maybe just to start, could you just kind of pop around your business a little bit and talk about what you're seeing from an order rate perspective by channel maybe, where you're seeing maybe some of the strongest activity and some of the weakest activity? And just maybe give us an idea what the order rate activity looks like relative to some of the shipments you're seeing right now?
Scott Culbreth: So Tim, in my earlier remarks, certainly on the MTO platform, we were seeing incoming order rates decline, and we were able to outproduce that, which is allowing us to bring down the backlog, which is something we want to accomplish. We're still on track to be able to do that by the end of the calendar year. When I think about the different channels, we continue to see strong performance in new construction dealer/distributor, I think the last quarter. I signaled we started to see some slowdown in incoming order rates in the home centers around our MTO platform. As I pivot over to our frameless business in PCS, that's continued to be strong. We continue to see strong unit shipments and strong order rates on that platform. And then on the stock business, specifically, that's starting to normalize. We've been chasing inventory restocking positions with our retailers. We're almost well against the specific goals that we've got with our retailers. So we'll get to a better position of matching POS as we go forward in that platform. Last comment I'll make is on the unit side, MTO and PCS units were up for us in the quarter. So it wasn't just purely price driving the sales result, but we did see units down on the stock platform.
Tim Wojs: Okay. That's helpful. Thank a lot. And then I guess with the expectation to see a slower environment, I guess, in the fourth quarter, I mean, what levers could you pull internally to kind of offset the decremental margins? And I guess, what would you kind of help us with in terms of what a decremental margin on lower volumes would look like?
Scott Culbreth: So Tim, specific to the forecasting, we've held our EBITDA forecast for the year, even with the softer Q4, so we'll be able to still deliver on expectations there. What are the things that we'll do as we see volumes slow. The first thing we'll do is we'll right-size and adjust where we need to inside our factories. We're able to do that relatively easily through attrition at this stage. But that's the current thought process as we go forward. We'll continue to tightly manage and control our SG&A spending, which we've always historically done. So we'll throttle that as appropriate to ensure we can deliver the results we need to. I don't have an exact decremental number I want to quote for you at this particular point in time because I don't think it's a big story for Q4. I think that will matter more as we start thinking about '24. But we've not started our planning process for that yet. As you know, we'll kick that off in the January-February time frame.
Tim Wojs: Okay. Good. That's helpful. And then just like a bigger picture question, just how is Woodmark investing or, I guess, positioning themselves in two areas. The first, I was thinking about it was e-commerce and if that could be kind of a growing channel for cabinets over time? And then the second, I guess, would just be alternative materials, maybe using things that are more composite relative to wood. I'm just kind of curious how you're thinking of those two types of opportunities and maybe the receptivity of those on the part of the consumer?
Scott Culbreth: Sure. I'll take the second one first. So with respect to alternate materials, we have introduced an all-MDF door in the marketplace. That's been very well received. We've been producing that for quite some time. It provides a nice substrate from a finish standpoint with regards to paint, types up some of the joint lines that we sometimes have quality concerns about. So we have done quite a bit of work in alternate materials and we've launched this in the marketplace, and they've been well received. Specific to e-commerce, we do engage in e-commerce today through our retail partners. So we do about 5% of our business now online through a retail partner. So our work in that space is continuing to drive asset rich content. So whether it would be 360 views or visualizer, et cetera, to be able to see what's inside the cabinet to really get folks excited about our purchase, it's also how do we continue to engage with consumers. Maybe they start off on our website, it can go to our retailer's website, get to a purchase. So how do we keep them engaged from the onset of inspiration all the way through to purchase. So yes, that's an active piece of our business. It's something we partner on with our retailers, and we're going to continue to drive more sales to that overall channel.
Tim Wojs: Okay. Good. Good luck on the rest of the year guys. Thanks for the time.
Scott Culbreth: Thanks, Tim.
Paul Joachimczyk: Thanks, Tim.
Operator: The next question is from Collin Verron with Jefferies. Please go ahead.
Collin Verron: Hey. Good morning. Thank you for taking my questions. So I appreciate the high-level commentary on volumes of product category, but can you quantify the price versus volume in the quarter? And just give us a little bit of guardrails on how you're thinking about the magnitude and cadence of declines in the back half of the year just to get to that down sales in the fourth quarter that you guided to?
Scott Culbreth: Yeah, Collin, I think we've probably hit this a couple of quarters now, but we're not breaking out the price versus quantity beyond what we've already disclosed.
Collin Verron: Okay. And then, I guess, just in terms of the capacity addition, can you just walk us through the rationale here for the additional capacity just given the weakened -- weakening macro backdrop? And just any color on the timing of the capacity coming online would be helpful.
Scott Culbreth: Yeah. So first, let me hit the timing when the capacity comes online. So what we're targeting is the March-April 2024 timeframe. So I think the fourth quarter of that fiscal year into the first quarter of fiscal year '25 is when we'll really be able to utilize that capacity to drive incremental sales growth. To the first part of your question, why do it and the why now? My first response would be that we're in this for the long game, not the short game. So short-term disruptions, macroeconomic uncertainty going into '23, that's a factor, but that doesn't affect our five year strategy and what we're looking to accomplish and achieve between now and fiscal year 28. So we believe we need this capacity to be able to meet the overall demand needs and sales growth goals that we've got as an organization. We're presenting our strategic plan to our Board next week. And then we plan to release within the quarter and updated Investor Relations deck, which will give you some perspective on what those five year goals would be from a revenue and profitability standpoint. But this project will be critical to allow us to achieve that.
Collin Verron: All right. That's really helpful color. And then just last one. You called out lumber prices -- hardwood lumber prices coming down certain species. I guess any way you could help us understand the magnitude of those declines? And then is that enough to offset the cost inflation that you're seeing in other areas or are you still expecting to see pressure from a cost perspective going forward? Thank you.
Scott Culbreth: So the decline in lumber is not significant enough to warrant a pricing reset with any of our accounts. So we still are, at a point in time, where we're balanced. So we're not seeing enough rollback to go engage in any of the channels with any kind of price reduction. So although hardwood lumbers come down, we're continuing to see increases again in many of the other categories such as plywood and particleboard.
Collin Verron: Great. Thank you for all the color.
Operator: And the next question will be from Steven Ramsey from Thompson Research Group. Please go ahead.
Steven Ramsey: Good morning. I wanted to hear a little bit more on the share gain opportunities you mentioned for 2023, maybe talk about by channel and market and how it works to gain share in periods of slower demand?
Scott Culbreth: Yeah. So Steve, that specifically was tied to the new construction as we're thinking about it. So as we see a slowdown there, is there opportunity to go grab share? I can tell you, over the last year, 1.5 years, we've had accounts come to us looking for incremental volume capacity, we were tight and didn't have it. So we were having to say no. So now we're able to release our sales teams to reengage in those conversations and explore opportunities to either convert existing communities or establish new communities with our product.
Steven Ramsey: Okay. Helpful. And then a quick follow-on to that. Does the recent CapEx announcement, I assume this doesn't maybe help the near term, but does it help you gain share in new construction more than repair and remodel?
Scott Culbreth: It will benefit both channels because that platform services both the new construction and repair and model.
Steven Ramsey: Okay. Helpful. And then last one for me on the 2023 guidance following a very strong first half. How much for the second half does this reflect just purely lower volumes or is pricing coming through more slowly? Anything to add there?
Scott Culbreth: Yeah. Our outlook is really about volumes. It's not a pricing conversation. We don't anticipate any price rollbacks in fiscal year '23, but we do see the units slowing.
Steven Ramsey: Great. Thank you.
Operator: And the next question is from Julio Romero with Sidoti & Company. Please go ahead.
Julio Romero: Thanks. Hey. Good morning. So on that last question about the guidance. It sounds like the change to the revenue guide, no change to the price, but it implies somewhat sharper expected slowdown in 4Q volumes. Is that largely led by what you're hearing on the builder side and what you expect from new construction units or has there been a worsening in-demand trends on the MTO side relative to three months ago?
Scott Culbreth: Yeah. It was primarily a function of new construction as we've looked at the last 90 days to start data, which you see as well. It certainly implies that five to six months out from now is when we'll see some of those impacts roll through our business. So we're expecting a softer Q4 in new construction.
Julio Romero: Got it. Makes sense. And I guess, just if you could talk about inventory where you are with regards to normalizing the inventory levels and what you're targeting either from a stays on hand or an inventory turns basis?
Paul Joachimczyk: Yeah. Julio, with our inventory position, we're still elevated from where we want to be as an organization. Some of that still has, I'll call it, the leftover effects of cover of having just-in-case inventory. We are definitely shifting to more, what I'll call, just back in just in time as supply chains are starting to improve. We are going to target inventory reduction, obviously, tied to the lower sales that are there as well, but just even from a working capital perspective of the organization. As part of our kind of our investor presentation, we'll get a little bit more color of what that working capital will look like. But right now, we're not giving a target or guidance for the rest of the year.
Julio Romero: Okay. Great. Thanks very much for taking the questions.
Scott Culbreth: Yeah. Thanks.
Operator: [Operator Instructions] the next question comes from Joe Ahlersmeyer with Deutsche Bank. Please go ahead.
Joseph Ahlersmeyer: Hey, guys. Thanks for taking the questions.
Scott Culbreth: Hey. Good morning.
Paul Joachimczyk: Good morning, Joe.
Joseph Ahlersmeyer: Good morning. You just mentioned not expecting price rollbacks. There was some commentary earlier in earnings season from larger builders about negotiating cost reductions on starts going forward. Just wondering if that's something that you've been hearing or seeing? And if not, maybe why your business or your category is not subject to that?
Paul Joachimczyk: We've not seen that specifically, Joe. We've had a couple of builders ask about some price reductions, but we go back to the indices. And again, the indices are not indicating that we're at a point in time where there be a reason for a price reduction.
Joseph Ahlersmeyer: Okay. Great. What about the multi-family business on the new construction side? I know it's sort of limited regionally for you guys to the Southwest. But is there an opportunity for you to participate in that backlog given that now it's actually larger than the single-family backlog?
Scott Culbreth: Most of that shows up in our PCS business, which I mentioned earlier, that's a frameless application or a platform. And that's been strong for us. As you noted, it is regional. It's mostly a Southern California and a Phoenix or Southwest region play for us. It's been strong. The backlog is high. We've not made as much progress bringing that down. So that will continue to be something we'll be focused on in the back half as normalizing the production platform in PCS.
Joseph Ahlersmeyer: All right. Thanks for the questions, guys.
Scott Culbreth: Thanks, Joe.
Operator: And the next question will come from Garik Shmois with Loop Capital. Please go ahead.
Jeffrey Stevenson: Hi. This is Jeff Stevenson on for Garik. Thanks for taking my questions today. Just wanted to dive more into the home center business and the trends you're seeing there and expectations moving into your back half of your fiscal year?
Scott Culbreth: I guess nothing really incremental to add beyond the earlier remarks, Jeff. Again, our MTO business has softened. We referenced that last quarter. That's been maintained, and we project that going forward to be a similar incoming order rate pattern. And then on the stock side, we made progress in recovering inventory stocking efforts necessary in the retailer. So we're not going to have that extra inventory build that we need to accomplish. We'll be focused on -- I'm sorry, POS, TCS, but POS as we go forward.
Jeffrey Stevenson: Okay. Great. And then regarding EBITDA margin, you've been kind of firmly in the low-teen margins range you guided to, but how should we think about the cadence moving into the back half of the year?
Paul Joachimczyk: I guess you're asking is there going to be disruption maybe quarter-to-quarter. I would just say that go back to our guidance, low double-digits, and my expectations will be in low double-digits in the back half.
Jeffrey Stevenson: Understood. Thanks.
Operator: Ladies and gentlemen, this does conclude our question-and-answer session. I would like to turn the line back over to Mr. Joachimczyk for any closing comments. Please go ahead, sir.
Paul Joachimczyk: Since, there are no additional questions, this concludes our call. Thank you for taking the time to participate.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.